Operator: Good day, ladies and gentlemen, and welcome to the third quarter 2011 Celanese Corporation’s earnings conference call. (Operator instructions). I would now like to turn the presentation over to your host for today’s call Mr. Jon Puckett, Vice President of Investor Relations. Please go ahead.
Jon Puckett: Thank you Tina and welcome to the Celanese Corporation third quarter 2011 financial results conference call. My name is Jon Puckett, Vice President of Investor Relations. On the call today are Dave Weidman, Chairman and Chief Executive Officer and Steven Sterin, Senior Vice President and Chief Financial Officer. Also with us today are Doug Madden, Chief Operating Officer and Mark Oberle, Senior Vice President of Corporate Affairs. The Celanese Corporation's third quarter 2011 earnings release was distributed via BusinessWire this morning and is posted on our website celanese.com. The PowerPoint slides referenced during this call are also posted on our website. Both items were submitted to the SEC and current report on Form 8-K. During this call, management may make forward-looking statements concerning, for example, Celanese Corporation's future objectives and results, which will be made under the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. The limitations inherent in such forward-looking statements are detailed on Page five of the earnings release referenced during this call. Celanese Corporation's third quarter 2011 earnings release references the performance measures, operating EBITDA, business operating EBITDA, affiliate EBITDA and proportional affiliate EBITDA, adjusted earnings per share and net debt as non-U.S. GAAP measures. For the most directly comparable financial measures presented in accordance with U.S. GAAP in our financial statements and for a reconciliation of our non-U.S. GAAP measures to U.S. GAAP figures, please see the accompanying schedules to third quarter earnings release posted on our website, celanese.com. This morning Dave Weidman will review the performance of the company and Steven Sterin will provide an overview of the business results for each segment and the financials. We'll have a question-and-answer period with Dave and Steven following their prepared remarks. I would now like to turn the call over to Dave Weidman. Dave.
David N. Weidman: Thanks John, welcome to today’s call. I am delighted to share our record third quarter results with you. I will also provide more details on our increased outlook for 2011, while briefly highlighting progress on the fundamentals of our business strategy. First, let me begin with our outstanding third quarter. Celanese net sales for the third quarter were $1.8 billion, operating EBITDA was $374 million and adjusted EPS was $1.27 per share. These results were third quarter records for Celanese and represent very strong year-over-year improvement driven by healthy global demand for our products and successful execution on our strategic growth plans. Our strong third quarter results demonstrate the earnings power of our portfolio throughout an economic cycle. As Celanese continues to build upon our leading technology and cost positions, our broad geographic can mark a footprint and our innovative new products and technologies. Based on third quarter performance, we are increasing our full year 2011 outlook for adjusted EPS to be approximately $1.30 per share higher than last year’s $3.37 and our operating EBIDTA to be approximately $280 million more than last year’s results of $1.1 billion. Our previous outlook for adjusted EPS and operating EBITDA was approximately $1.20 higher and approximately $227 million higher than last year’s results, respectively. The only strategy that creates shareholder value is based on the four growth lever Geographic Growth, Innovation, Productivity, and Portfolio Enhancements. Regarding geographic growth Celanese has strong positions in the fastest growing regions in the world. In fact, based on the distribution of global GDP, Celanese business activity is modestly overweighed to the rapidly growing Asia region, where we do approximately 40% of our business. And a significant part of today’s Asia earnings come from either our acetate ventures or our technology advantage acetyl’s business. In order to further grow our company, we continue to focus on innovation. Innovation in applications, products, and processes. These efforts are leading to growth opportunities such as our innovative TCX process technology. We know that we are on track with plans for our ethanol facilities in China and in the US, which we utilize TCX technology. In addition to a culture growth and innovation, Celanese also has a culture of productivity, this focus has enabled us to lower our fixed cost base by approximately $250 million since 2008. We target delivering annual productivity savings netted inflation that range from $40 million to $60 million. Finally, we will continue to enhance our portfolio with high value strategic acquisitions that are synergistic to our core business strategy. Within the last several quarters we have strengthened our Advanced Engineered Materials portfolio with two acquisitions that are paying dividends. Many macroeconomic issues climb [ph] the horizon today; however Celanese focus is on executing programs in geographic growth, innovation, productivity, and portfolio enhancements. We remain confident that we will deliver top flying growth of 100 to 200 basis points faster than global GDP, while converting our incremental growth to earnings at a rate of at least 30%. For shareholders this translates into earnings increasing at 10% to 15% per year, relatively higher margins, lower earnings volatility, and return on invested capital that significantly exceeds our weighted average cost to capital. As we look forward, we remain on track to deliver our 2013 target of at least six dollars of adjusted EPS and at least $1.7 billion of operating EBITDA. With that I will now turn the call over to Steve.
Steven M. Sterin: Thanks Dave. Our business model continues to deliver excellent results and financial performance in the quarter was strong across the portfolio. In fact this was a record earnings performance in Q3, which followed similar record in Q2. Our businesses continue to generate strong margins in the third quarter as global demand for our innovative offerings, in our AEM, in Industrial Specialities businesses remain strong. As both of these businesses closed at record results and performance in our Consumer Specialities business were sustained. Our Acetyl’s business continued to demonstrate our unique advantage, cost, and technology positions in acetic acid and our ability to benefit from elevated industry utilization levels. An overview of the third quarter performance and outlook for each business beginning with Advanced Engineered Materials on page seven of the earnings presentation. This business delivered record Q3 performance, as global demand for our innovative performance polymers continued to remain strong, especially in the automotive sector. We continue to invest in this business with recent a start-up of our new state-of-the-art POM production facility in Frankfurt, Germany. This facility will be the world’s largest and will further strengthen our global operations and advanced technical capabilities in order to meet the growing demand for our engineered polymers. Net sales for this business were $332 million in the quarter. A $51 million increase from last year. The increase was driven by higher value-in-use pricing across our product lines. Sales from our recently acquired LCP and PCT product lines as well as favorable currency. Additionally volumes were up year-over-year as the POM volume constraints we had experienced over the past several quarters. Related to the facility expansion at Barbados. Operating EBITDA was $112 million versus $90 million last year. Earnings from Ticona’s strategic affiliates were up by $21 million, primarily driven by Ibn Sina improved performance. As you recall Ibn Sina provides an economic raw material hedge for our businesses. And when methanol prices are high, earnings from that venture will increase. As we look forward to Q4, we expect year-over-year earnings growth with normal seasonality and Q4 a planned turnaround in one of our strategic affiliates will result in lower sequential equity earnings of approximately $10 million to $15 million. Even with this turnaround, we still expect to see year-over-year earnings growth in Q4. Let me pause for a moment to remind you of how we typically, we use seasonality in our business. Particularly, because it has been a few years, since before the downturn, where we have seen seasonality. We generally expect to see about 55% of our earnings in the first half of the year and about 45% in the second half. When you look at the second half of the year, you would normally expect EBITDA to be a little higher in Q3 than in Q4. This year we expect to be weighted a bit more in Q3 for two reasons. First, the step-up on the cost curve seen in Q3 in acetic acid, which is the primary reason we raised our EPS outlook by $0.10 a share. (inaudible) we expect a major turnaround in one our AEM equity affiliates in Q4 as I previously mentioned, which would reduce Q3 to Q4 equity earnings by about $10 million to $15 million. Let’s now turn to Consumer Specialities on page eight. This business continues to deliver stable earnings with high margins. Net sales were $298 million up $10 million from a year ago. As higher pricing offset lower volumes in the quarter. Volumes were down modestly year-over-year due to a temporary manufacturing outage in our acetate business caused by a lightning strike. However, higher volumes in our Nutrinova business help offset the impact. Operating EBITDA was $78 million, a $3 million decline from last year’s results. As the higher pricing offset higher raw material cost, but did not completely offset the impact of the production outage. As we look ahead, we expect higher volumes sequentially, but energy costs will remain at elevated levels. The strong fundamentals and stable earnings of this business are expected to continue into Q4 and beyond. Results for Industrial Specialities can be found on page nine. This business’s innovation efforts and geographic expansion continue to drive earnings growth and margin improvement. Net sales rose to $332 million from $276 million last year, primarily driven by 15% higher pricing as well as favorable currency impact. This quarter’s results benefited from the continued commercialization of the innovative applications across our businesses. Especially in Asia, where we focused on emulsions capacity expansion to meet the growing demand for our product offerings in this region. The higher pricing was also a result of pricing actions taken for the recovery of higher raw material costs. Operating EBITDA increased to $43 million approximately 20% higher than last year. As the higher pricing in improved mix offset raise in raw material costs. Looking ahead we expect volumes to be sequentially lower in the fourth quarter due to seasonality, but anticipate demand for our innovative products like low VOC paints and differentiated EVA performance polymers offerings in the medical space will continue to drive year-over-year earnings growth. Let’s now turn to Acetyl Intermediates on page ten. This business continues to benefit from higher year-over-year utilization rates in the industry. Along with its attractive cost curve, and Celanese leading technology position. Net sales were $975 million a $198 million higher than last year, primarily due to the significantly higher pricing along with positive currency impacts. Volumes were higher sequentially, but slightly lower than last year due to the final impact of our turnaround in Q2 this year. The 23% increase in price year-over-year was driven by elevated industry utilization resulting from planned and unplanned production outages of multiple acetyl producers and underlying strong demand for acetyl products. Last quarter we discussed an expected trajectory in acetic acid margins, returning to more normalized levels by the end of the year. We actually saw our margins relatively robust through Q3 and are now beginning to moderate to normalized levels in Q4. The recovery of rising raw material cost during the quarter also contributed to the increased pricing. Operating EBITDA increased to $168 million from last year’s $110 million. As the higher pricing and positive currency impacts more than offset higher raw material costs (inaudible). Looking ahead we expect industry utilizations rates to return to more normalized levels in the fourth quarter, with this EBITDA margins should moderate back to the mid-teen levels that we saw in the second half of 2010 through the first quarter of 2011. However, we expect to see year-over-year earnings growth. Our strategic equity and cost investment results are highlighted on page. On the left side of the chart you can see the earnings impact of our affiliate performance. Year-to-date we reported $226 million of earnings from our strategic affiliates. Keep in mind this excludes over a $100 million year-to-date of equity affiliate EBITDA that is not included in our reported results. The liquated [ph] further detail on our affiliate performance in proportional share in table eight of our earnings release. Our adjusted free cash flow results are found on page twelve. Our improved earnings performance coupled with our strong fiscal discipline has driven sustained cash generation throughout the year. Do note that our capital expenditures were higher year-over-year as we have continued to invest in capacity expansions and improving the efficiency of our operations to support future earnings growth. Our 2011 outlook for adjusted free cash outflows is on page thirteen. We have updated our capital expenditure forecasts to reflect the acceleration to the industrial ethanol projects previously announced. Additionally during 2011, we made a $128 million in pension contributions. Similar to this year and assuming no major changes in the capital markets we anticipate funding between a $130 million to $150 million annually in the next five to seven years to a private US pension reforms. However, even with these contributions, we continue to generate strong operational cash flows that position us well to invest in higher ROI growth, productivity, and innovation programs. Well at the same time, we are leveraging and returning cash to shareholders through share repurchases and increased dividends, with that I will turn the call over to John for Q&A.
Jon Puckett: Thanks Steven. Before we start the Q&A, I ask that you limit yourself to one question and one follow-up, so we can get as many people through the queue as possible. If you have different additional questions and time permits, we will ask you get back into the queue. Tina, I will turn it over to you.
Operator: Thank you. (Operator Instructions) And your first question comes from David Begleiter from Deutsche Bank, please go ahead.
David Begleiter - Deutsche Bank Securities: Good morning.
David N. Weidman: Hi Dave.
David Begleiter - Deutsche Bank Securities: David, could you talk about your asset price in China? What has been the trend in the last few weeks and couple of months?
David N. Weidman: You bet. I’ll ask Doug to jump in a little bit here. Let me go back a little bit, during the second quarter and third quarter, we saw effective capacity utilization move to the right, we probably characterized it saying that it was in the high 80% and low 90% range, because of that pricing went up and margins went up as turnarounds have been completed and unplanned outages have been restored, capacity utilization now is moving more back into the mid 80% perhaps low 80% range and margins are coming down as a consequence to that. Where we would expect on details [ph]. Doug if you want to talk about it
Doug Madden: Yeah Dave, you followed the chronology that Dave played out, go back into the middle of the year where acid pricing was in the high 500s maybe even tipping north of 600 on a spot basis. You have seen that coming down over the late second quarter into the third quarter. More recently you’ll see acid pricing today probably south of 500, call it somewhere around the 450 some transaction maybe at 500, but you can see the prices dropping already which is why we believe that with industry utilization coming back to more normalized rates, you have to think about this is more normalized mid-teens on the EBITDA level for fourth quarter.
David N. Weidman: Three key things Dave, first our 2013 commitment of $1.7 billion, $6 a share. As acetic acid margins in the range we would expect them to be from this point for the fourth quarter into 2012. Second, we have indicated before and it still holds true that there hasn’t been any new acetic acid plant started. No new concrete put into the ground since 2008, early 2009 and third, as we look at the world going forward we have highlighted on the 2013 number that if capacity utilization moves up on a more longer term basis in 2013 that represents an upside to our $6 a share.
David Begleiter - Deutsche Bank Securities: And Dave just on Kelsterbach, when will we see the benefits of the operating leverage and that unit from ramping up and being loaded up?
David N. Weidman: Doug and I were just reviewing this morning with one of our colleagues, you know, I mean we’ve got some fairly large applications on the new 380 couple of tons of our products on that. So, these niche applications high value-in-uses are what we are about. This new capacity gives us the ability to grow as those applications develop. We see it as more gradual growth. We’ll get some modestly lower cost coming out of that operation as a consequence of newer technology being applied into it and it gives us the ability to grow for the next three to five years without the need for new additional capacities.
Doug Madden: And I might just add, recall Dave that we, you know, the unit is up, it is fully operational. We come to full capacity utilization over time through a phase and so we are back in full capacity early next year and I think Dave’s comments certainly are true as well as we look to fill that capacity out.
David Begleiter - Deutsche Bank Securities: Thank you.
Operator: Your next question comes from the line Kevin Mccarthy from Bank of America Merrill Lynch
Kevin Mccarthy - BofA Merrill Lynch: Yes. Good morning. Dave, I have got a two part question on your TCX technology for ethanol. First, would you comment on the expected timing of permitting decisions at Nanjing and Zhuhai? And then second, would you provide an update on the discussions you are having with potential partners for distribution into the fuel market and how those are going and what the next steps there could be and related timing? Thank you.
David N. Weidman: Yeah, delighted Kevin. Let me take the first question. I’ll have Steve take the second one. We are on track on the permitting process on the Nanjing facility and I’ll just remind that those on the phone that Nanjing is a retrofit of our existing acid fuel complex and we anticipate start of that facility would be some time in the 2013 mid-year time frame. Permitting is a multi-step effort in China. We are right on track going through, at this point in time we continue to target and feel confident with the 2013 start up for that facility. We also have a facility that will start up in Texas next year that is more of a development unit to help us take our current technology and extend it beyond the capabilities that we see already and that unit again is on-track in the engineering construction permitting associated with that. Steve, do you want to talk about fuels market.
Steven M. Sterin: Yeah. We continue to make very nice progress there in commercial discussions with a number of parties around the world as we mentioned before a lot of the focus right now because of regulation in US and outside of the US and we continue to gain traction in discussions whether they be in China, Asia, outside of China in the middle east and I would say that we continue to move to more substantive commercial or project focused opportunities with specific customers now. So, we are continuing to progress there and the pipeline of incoming requests for interest in the technology as well as our identification of additional customers continues to grow. So, we are encouraged by the progress, it is certainly a multi-year process, working in this industry to go from conceptualization in oil and gas to a deal, but we are making very solid progress and I am encouraged by the response from customers.
Kevin Mccarthy - BofA Merrill Lynch:
David N. Weidman: Yeah. Thank you. We indicated Kevin that we’re going to build one and possibly two facilities for industrial in 2014-2016 time frames. We are in the advanced stages of site selection for the first of those facilities and we would expect to be up and operating within that time frame, let us say 2014 time frame/2015 time frame for those Greenfield facilities.
Kevin Mccarthy - BofA Merrill Lynch: Okay, then final one if I may for Steve, I heard the cash contribution into the pension plan of 130 to 150, would you have a preliminary estimate on pension expense in terms of adjusted EPS impact?
Steven M. Sterin: The way we look at that Kevin is there could be some modest increase that we, as we look we look forward. We will cover that with productivity, any inflation or changes in pension costs and soon we are already in our 2013 outlook and we are going to cover those through our net productivity contribution of $40 million to $60 million a year, they look very low double digits type of movements so not material to us and the cash outflow should be assuming no changes in capital market, interest rates are really low, as interest rates move up the whole thing can change and can become a lot more favorable not only to us, but to the industry.
Kevin Mccarthy - BofA Merrill Lynch: Understood. Thanks very much.
Steven M. Sterin: Thanks Kevin.
Operator: Your next question comes from the line of Duffy Fischer with Barclays Capital, please go ahead.
Duffy Fischer - Barclays Capital: Yeah, just wanted to follow up on Kevin’s question on the fuel side of things with TCX. Where should we kind of set expectations over the next year as far as, possible deals signed? What should we expect to hear on the fuel side of things?
David N. Weidman: Duffy, great question. I would characterize where we are today as project specific negotiations with the street customers and I characterize these customers not just as a customer and because of the confidentiality I am going to walk around things we also are in negotiations with companies that I characterize as integrated as well as well as those who are not. Now, we have chosen to be focused on negotiating an executable agreement rather than an MoI or MoU that we see in the industry today, so you would expect that sometime over the course of time, when we do have an announcement that is going to be a very specific concrete announcement with the real deal behind it and the commitment on both parties parts to go forward with the project. And again just by nature these things, this is going to be multiple quarters, we are, as Steven highlighted to you, we are incredibly encouraged that less than a year ago that we announced our TCX technology and the interest in the fuel side is far beyond my expectation. The level of negotiation, the level of interest in this again far exceeds where I thought we would be at this point, having said that being a fairly pragmatic guy, we haven’t got a deal yet, so we’ll let you know when we do that one.
Duffy Fischer - Barclays Capital: Perfect. And then, from their standpoint or just anybody’s standpoint analyzing the technology, I mean when will you be able to send up the all clear signal as far as the ability of this to scale without operational issues, is it, you know, when Texas comes up, when the retrofit at Nanjing comes up or do we actually need to get that first true Greenfield out before you really buy in and say we know for sure it works?
David N. Weidman: Duffy, you tend to be a very cautious crew and we’re at the point where we are highly confident that our technology will work, part of that is based on the fact that significant portion of the DNA of what we are doing is manufacturing technology that, where we have expertise and we have significant superior technology and advantage, we are leveraging that and in addition to that there are breakthroughs beyond that and those breakthroughs, I characterized as being credibly unique, but the application of those is within an area where we are highly confident. As you know, we have gone to two independent parties on the outside and asked them to confirm our views or discourage our views, they have confirmed our views those have been shared with the public to the degree that we can without disclosing technology and they have also been used as some of the justification our board needed to go forward and commit the capital required for this first unit in China. So, I mean, you know, we have very high confidence and there is incredibly low chance that this technology will not work its scale.
Duffy Fischer - Barclays Capital: Terrific. Thank you guys.
Operator: Your next question comes from the line of John Mcnulty with Credit Suisse, please go ahead.
John Mcnulty - Credit Suisse: Yeah. Good morning. Just a quick question, with regard to the cash available for strategic purposes, it seems like it is a decent cash forward and I know you have been looking for acquisition opportunities, I guess if you can give us an update as to how that pipeline is looking at this point and if there are opportunities that actually seem any more attractive or more strategic than your own stock at this point?
Steven M. Sterin: Yes. We continue to maintain a balanced approach. I mean, if you look at what we have done over the last several years it has been very well balanced between share repurchases, acquisitions, and dividends. But as we look at the pipeline going forward we are still encouraged by what we see – it is certainly a little bit less robust than it was a couple of years ago when valuations were a lot lower, plus we have completed the number of the deals that were in our pipeline. But we are still actively working on a number of projects in bilateral discussions, and we see that as one of the possible uses of cash. Again, the type of deals we look at our similar to what you have seen us do, technology boltons [ph] or business boltons [ph], parts of existing businesses that are highly complementary to our existing technology suite. So that is the principle focus of our pipeline today.
David N. Weidman: John, I will answer your question a little differently though, I would say that we are in the market as a company with share repurchase on an ongoing basis. We buy when we can. In other words, we have internal blackout windows. We only wish that we were not in a blackout window during the most recent times when the stock dipped below 30 bucks [ph]. We do view our share prices being undervalued, that’s the job of the CEO to never be satisfied. And having said that will continue to apply – the cash in a way that creates the most returns for shareholders in our judgement.
John Mcnulty – Credit Suisse: Okay, great. Thanks for the color.
David N. Weidman: Thanks, John.
Operator: Your next question comes from the line of Frank Mitsch with Wells Fargo Securities. Please go ahead.
Frank Mitsch - Wells Fargo Securities: Good morning. With these record results it looks as if your team is performing as well as the Texas Rangers are these days.
David N. Weidman: Well, they still got one more game to go.
Frank Mitsch - Wells Fargo Securities: Yes and it is going to be tough but it has been an interesting series so far. I was curious on the commentary on Ticona. You talked about your record quarter in Ticona and higher volumes. We actually heard from another company that has a pretty significant engineering polymers’ business in the automotive sector that they are seeing destocking. They saw a significant destocking during the third quarter in the auto business. Did you see anything like that occur in your businesses?
David N. Weidman: Well, frankly, we have got a unique position. I can’t comment on what they said – I didn’t hear – I don’t know their business. I will underline that we do have a unique business and a unique portfolio. Our global position is fairly unique too. We are continuing to see ongoing penetration on every unit that is out there. Our position in China is expanding very, very rapidly. So, we had 5% volume growth on a year-over-year basis. Looking forward, we see normal seasonality in the fourth quarter. You know, we see earnings growth – and I characterize – our view of it is that we have had a little view into the future in Ticona. Their order books there tend to be a little more predictive than some of our business out 30 days or so. Unfortunately, a fourth quarter seasonality can be softened or magnified by what goes on in December. And we don’t have any view to that now. We have taken a cautious view however of December and with that we see earnings growth and we certainly see some really great demand being developed by the innovation machine that we have there.
Frank Mitsch - Wells Fargo Securities: Okay, great. So, at this point you are not seeing signs of the slowdown in auto, in fact, I guess in some parts people are forecasting that bills should actually pickup a little bit in Q4 year-over-year than in 3Q due to an inventory drawdown from Japan.
David N. Weidman: Yes. Doug may want to characterize this a little bit more but we certainly see signs that people are concerned about the inventory by their order patterns.
Doug Madden: Yes. So Frank, if you step back and I tend to not look at this in terms of quarters, but remember we entered the year – there was a lot of movement specifically for autos, obviously the Japanese tsunami and the impact they had, had a significant impact. If you went through the year many of the auto producers’ forecast that greater production share shifts that they will be picking up with the Japanese later in the year, the Japanese would be back and you would see that sometime in the later part of the year. The way I look at it is – is I kind of step back and take a bigger view of this and say, what was the auto production, what was the auto industry looking for year-over-year in their growth and where are we today, and I would say it’s basically right on track. You know, you see a 3% to 4% growth on the full year – to your point we expect quarter-on-quarter – year-on-year rather – an increase of 4 to 5%. So, in all of that noise between quarters, I still see production up, and as David said, a large part from what we do is not only the auto production but it is taking our unique polymers and our technology and putting more pounds and more value on those orders. So auto bills is one, but what drives our growth is really through that innovation pipeline.
David N. Weidman: Frank – I mean, folks are nervous, their order patterns are – they are ordering smaller quantities, they are ordering more frequently. We will see orders popup into the books real strong for two to three days and then there is a pause for a day or so. If I think of the past, times when people were concerned about inventory, they are watching their inventory and they are only ordering what they need. They don’t want to get out over their cash [ph].
Frank Mitsch - Wells Fargo Securities: Okay, alright, fair enough. Just – quickly looking at the Acetyl Intermediates business, you have been running ahead of normal as you said and you expect to get back to normal here in Q4. How would you characterize on a percent basis the unplanned outages in Q2 and Q3? How high did they run and obviously you can’t plan for that in Q4, but I am just curious as to what sort of percent of industry capacity was offline on unplanned outages last couple of quarters?
David N. Weidman: You know, if you go back at the end of the first quarter, really second quarter, we were probably running in the high 70s - low 80s. And then what we saw last quarter is we saw it move up into the low 90s. And as we progressed through the quarter and some of the capacities come back online we have kind of moved now down into the sort of low to mid 80s is where we are at today. We expect that to be relatively consistent, maybe, moving towards 80% by the end of the year as people come back online.
Frank Mitsch - Wells Fargo Securities: As a percent of third quarter capacity do you think what 4 or 5% was offline due to unplanned outages?
David N. Weidman: Yes, I would say it got better as the quarter went on, but on average I would say it was probably 4 to 6%.
Doug Madden: I think that’s a good range, 4 to 6%.
Frank Mitsch - Wells Fargo Securities: Alright. Thank you.
David N. Weidman: Thanks Frank.
Operator: Your next question comes from the line of P J Juvekar with Citi. Please go ahead.
P J Juvekar – Citi: Good morning, Dave.
David N. Weidman: Hello, P J.
P J Juvekar – Citi: You know, given your extensive asset base and experience in China, have you seen any slowdown in different end-markets, you know, given talks about hard versus soft landing there?
David N. Weidman: Yes – only anecdotally. PJ, I mean, when you talked about acetic acid or where we are in China with our acetate ventures, they are not highly GDP growth sensitive. China continues to grow so we can’t feel the difference between a 7% and 9% as an example. Now there is some anecdotal stuff that is coming and that is a little bit different from what we have heard the general consensus in the market and we are trying to figure it out. But starting back, a year ago, maybe a little less than a year ago, we had some of our smaller customers finding difficult to getting credit. There was a credit tightness that was initiated back then – it didn’t affect our business because we had a broadened up base that we were able to get to market in a different way – that persisted until about four weeks ago, three to four weeks ago. And then these guys came back with more credit. So, based on that if you could take that and come to any conclusions you would say that China – the people who run the Chinese economy and it is state-controlled capitalist economy, the best run in the world, they sensed that there is something out there and they are pumping more liquidity into the system and it is having an effect. We haven’t seen anything, PJ. I mean, the economy there continues to move forward. We track and monitor tons of data on a sequential and year-over-year basis and there is nothing there that causes us any substantial heartburn.
P J Juvekar – Citi: And a specific question on industrial specialities. You know, some competing technologies like acrylic prices are beginning to come down in Asia. Have you seen in October any sort of pricing pressure of the acetyl (inaudible) chain?
Doug Madden: Yes, PJ. You know, I think consistent with what we had said before is the acetyls comes more into balance and you start to see the effects of lower utilization. You probably get a little bit of that impact through the whole chain. Frankly, we have been looking more just the underlying demand and I think as Dave said, seeing whether or not there is any real impact and we don’t see it. So, you get the impact on some raw materials and other things that impacted but there was nothing measurable.
David N. Weidman: PJ, we haven’t seen anything that affects margins. And as we look at people switching from acrylic to vinyl systems, there is still a view out there that on the margin vinyl systems are going to give more value relative to where they were two or three years ago and we still have high interest in people switching out of systems into ours.
Doug Madden: We started up the new motions-based facility there. And PJ, we are very pleased with the loading on that facility and our ability to take those low VOC vinyl systems into that country and find really great application and great growth for us.
P J Juvekar – Citi: Alright. And just lastly, just a long term question on TCX. I think, Dave, you talked about taking TCX technology out of China into other parts of Asia.
David N. Weidman: Yes.
P J Juvekar – Citi: Do we need to prove the technology in China before we take into other parts of Asia?
David N. Weidman: It’s a good question. The people that Steven is talking with are confident in the technology and are moving forward in a very accelerated way with discussions and negotiations. So I would say based on what our customers are telling us there is no pause, there is limited questions on the technology and whether the technology will work.
P J Juvekar – Citi: Thank you.
David N. Weidman: Thanks, PJ.
Operator: Your next question comes from the line of Bob Koort with Goldman Sachs. Please go ahead.
Bob Koort - Goldman Sachs: Thanks gentlemen. Good morning.
David N. Weidman: Hi, Bob.
Bob Koort - Goldman Sachs: Dave one of the – and maybe for Steven could ask some more in the TCX process and it would seem like given the ministry of (inaudible) over in China – talked about trying to move away from corn-based ethanol. Is it – think it’s feasible that you could actually see them reduce corn into fuel ethanol and embrace your technology as an alternative? And then, as a follow up, whether in China or somewhere else if we come in some Monday morning and read a press release about state oil X doing a deal with you, what would that deal look like from an asset, investment, take – off take those sort of dynamics, what would be the most likely way that you would reach an agreement?
David N. Weidman: Bob, we see the same sentiment in China whether it’s in a full five-year plan that talks specifically about land use or in public commentary in China there is a significant concern about food issues. And you know, although we are not – the Chinese will decide what they do with that existing capacity. The mandate that China is looked for on ethanol is much much larger than the corn-ethanol production that’s there today. So they have the option to do what they want with food and our technology gives them that flexibility. So, yes, we see the trends both in terms of continued pressure on commodity prices whether it’s food or oil, and you know, a plentiful and available feedstock in terms of coal and natural gas in those regions, that’s setup very well for the technology and that’s why we got so much interest from customers over there.
Doug Madden: And I would also highlight that our – there is a lot of ethanol – corn-based ethanol goes into industrial today, as industrial ethanol. We would assume that that stays there, it doesn’t grow, and we pick up the growth in the market. If your scenario develops that gives us industrial opportunity to be on projected.
Steven M. Sterin: And your second question about – how to think about what would have Celanese model look like in the fuel space? Yes, it’s similar to what we have said in the investor day that it hasn’t changed. You know, we are not entering the fuel space for bringing technology into the fuel space. We have described that in an industrial gas model but let me put more color and texture on that. It is bringing the technology, our operational know-how and capability and Celanese is investing in that for our customers. And our customers are taking the off take of the ethanol, taking the marketing for that as well as providing the raw materials. Think it as total conversion model. For Celanese investing more technology which we have said a 400,000 ton plant somewhere around 300 million, but we grew up to 1.1 million tons for somewhat less than double out of that investment. So you can think about that as an investment base and that’s what we focus our capital on. And then in terms of return profile, we would be looking at getting paid for the technology, the operational capability and a return on capital. So, very similar to the gas model.
Bob Koort - Goldman Sachs: And Steven, you mentioned that the US market that hasn’t been a focus for you given the – I guess the political and subsidy dynamics around it, but now we have got Congressmen talking about changing the fuel loading levels depending on cornstalk to use and there is obviously sell them against some of that subsidy. So, is there some small light at the end of the tunnel that maybe you could get into the US market some day or is that just pure option value that you don’t really describe a high success probability to?
Steven M. Sterin: I certainly think there is potential options in the US. The same dynamics that you talked about for China exists here. You know, there is concerns about high food prices and agricultural prices. And as you said, there is talk in DC and you know, I think there is still a lot of work that would have to happen in DC for that to occur.
David N. Weidman: It’s fair to say that there is – people on both sides of the isle that are very concerned about energy security. There is people on both sides of the isle who are unpersuaded by what is going on corn ethanol in our country. So this is getting an awful lot of attention there. And having said that, moving something through Washington frustrate the business guy like me and Steve. So, obviously we are putting energy into it and I am not the right guy to ask the handicap – likelihood of success.
Bob Koort - Goldman Sachs: Okay.
David N. Weidman: Thanks, Bob.
Operator: Your next question comes from the line of Paul Leeming [ph] from the Tricom Securities [ph]. Please go ahead.
Paul Leeming - Tricom Securities: Good morning and thanks for taking my questions. Just wanted to drill down a little bit into the results at the wholly owned part of Advanced Engineered Materials with the Ticona operations. The two part question I have got is it, if you look at EBITDA margin for the operations and I am stripping out the equity income, margins have really been down two quarters in a row now and just wondering if you could talk a little bit about how much of that is raw material cost, how much of that is operational yield issues. Do you see that flattening out in here or is this an issue you are going to be fighting through for the next couple of quarters? And then somewhat related to that – depreciation for Advanced Engineered Material was up 30 or 40% over the last couple of quarters, I presume that 90% of (inaudible), have we got depreciation in that segment, kind of up to the new run rate now or are we still going to see another jump in the fourth quarter?
David N. Weidman: Paul, let me have Steve confirm the depreciation question, I’ll answer the margin question. Ticona is a speciality business model. We sell value-in-use rather than cost evoked materials. When we go to somebody and, a medical device manufacturer and work with them to put a product into a drug delivery system, as an example, or go to Airbus and Boeing and put materials on their new plane, we do it on a value-in-use, we price on a value-in-use. That price tends not to change unless the value we deliver changes dramatically and then we’ll re-chart a new price. We do have raw material movement under that, but we have hedged that not through a financial hedge but through a strategic hedge with the Ibn Sina joint venture, which is shown in the documents that we released. And, so over the last couple of quarters, we have seen raw material prices move up, margins within Ticona be squeezed, but the hedge has delivered more profit and as raw materials went down you would see this opposites[ph] occurring.
Steven M. Sterin: And to the second question, D&A you are correct it is Kelsterbach, it is a new plant start-up and wouldn’t expect to see any major changes to the run rates you are seeing now, going forward.
David N. Weidman: Is that helpful Paul?
Paul Leeming - Tricom Securities: (inaudible) very helpful, thanks very much.
Steven M. Sterin: Thank you.
Operator: Your next question comes from the line of Gregg Goodnight with UBS, please go ahead.
Gregg Goodnight – UBS: Well actually it is Gregg Goodnight, but that will do.
Steven M. Sterin: How are you Gregg?
Gregg Goodnight – UBS: Doing well, doing well. Would you please comment on any companion Syn gas projects in China for your TCX technology. If I recall, one is not necessary to coincide with your 2013 Nanjing start-up, but perhaps as you expanded the, you will need that extra capacity, so could you comment and bring us up to date please?
David N. Weidman: Sure, what we have said on the 2013 project is that there is limited utility, raw material and footprint. Availability at Nanjing, consequently we need take, you have just seen raw material seeds[ph] within that acetyl complex and apply those towards highest value, highest profit, highest profit material that can be manufactured in that complex.
Steven M. Sterin: So that’s what we have said, that’s what we have said publicly. If you go to Greenfield obviously there is utility, Syn gas and others, other items that are negotiated as part of the complex, but specifically for Nanjing that’s, that’s kind of where, where we are at there.
David N. Weidman: And, we have also said that, to do that, that integration will result in a de-rating of other acetyl products, whether it is acetic or (inaudible), I guess you are limited on Syn gas, and so as we look forward, you know, two things to keep in mind, so you have got that, but we have also have stated strategy of continuing to supply our customers growth in the market, you know, which is about 154,000 tons a years, you know, so when you take into account the de-rating and a continued Asia, you know, we want to keep in mind, we have got multiple options, you know, Syn gas is an important part of it, but as we think about going forward, we could, there is some (inaudible) like opportunities, but the results of Greenfield opportunities for acetic acid to make up for that and also provide for growth, so the decision we make here in economics, we have got that flexibility and that optionality[ph] that we would continue to evaluate.
Gregg Goodnight – UBS: Okay. A question for you, in your TCX, you know, you guys have stated that the shale[ph] gas, you know, in a way could be considered a renewable, my question is, if you considered the possibility of hooking your TCX technology up to a low cost bio-base Syn gas generation facility in US, perhaps you could get ethanol qualified as renewable and you would be, you know, perhaps a new set of economics and new paradigm for renewables in the US, is that something that you have even considered?
David N. Weidman: Yeah, we continue to look for all options, to get into the US market, both within the existing legislative framework as well as in adjusted alternative frameworks, and we continue to look at alternative technologies that may give us the opportunity to do that.
Gregg Goodnight – UBS: Okay, it is something that you consider, it is just the early stage, I would assume?
David N. Weidman: Yeah, if the economics make sense absolutely.
Gregg Goodnight – UBS: Okay. Last question if I could. Spot prices of methanol in China recently been high, could you discuss your leverage to these prices and what is your expectation for methanol prices in China going forward?
David N. Weidman: Yeah just very simply, we in China we buy at market minus and we are positioned to be in that market and the market over there most of our competitors markedly buy on similar economics, so as methanol prices move up in China market prices move up in order – because of the cost curves and the marginal producer needs to recover as variable economics. So as methanol goes up or down your going to see movements of acid pricing that functional with that methanol going up and down.
Gregg Goodnight – UBS: Presumably the higher prices are pegged into your guidance for fourth quarter.
David N. Weidman: Yeah, the margins are I mean simply a margin recovery gain and prices in China as you follow it very very closely you know that the China prices are really spot.
Steven M. Sterin: Yes.
David N. Weidman: They move on a day-to-day basis every 2 or 3 days so this is pretty dramatic. You could see them moving up now you’re going to see moving acid price pretty quickly that is because of the marginal producers out there moving those prices and needing to (inaudible).
Gregg Goodnight – UBS: Okay. Thank you for that help.
David N. Weidman: Thank you Greg.
Operator: Your next question comes from the line of Neil Wallen [ph] with CLSA. Please go ahead.
Neil Wallen - CLSA: Good morning. There are a number of projects in the sort of mid part of the decade in China and the methanol to (inaudible), I’m just curious to know how that you feel about those projects obviously they’ll taking more coal or methanol. How that makes you feel about your cost position and raw material cost position on the acetic acid side of business and whether there is an opportunity to shift more of your capacity back to North America with the shale gas advantage in Clear Lake.
David N. Weidman: Yeah, great question. A lot of the – let me try to answer it. I will give you the short answer. We don’t see it having a material impact on our competitiveness with the technology, but we continue to look for opportunities where natural gases is plentiful and inexpensive, a little texture on that when we look at spotting a facility and look at the economics of the facility, we assume global coal prices. We don’t assume that we need to have something that is spotted right at mine mouth in order to be competitive. Our economics, the efficiency of our technology, amount of coal needed for a ton of ethanol is substantially less than it is for coal to whole of its projects as a consequence to that we look at global market economics where coal (inaudible) basically that is what we are assuming in our projections.
Neil Wallen - CLSA: Okay, got it. If you lose some acetic acid capacity in Nanjing because of your TCX expansion and assuming you tend to want to keep your global share of acetic acid same does that mean you may expand other units around the world into your (inaudible)?
David N. Weidman: Yeah, exactly right I will reinforce what Steve said little bit earlier. For acetyl our goal is to maintain our market shares as it grows, acetic acid is the foundation of that. As the market grows we will increase our capacity, it may not be the last step, but our goal over time is to hold our share. We do have some incremental deep bottle necks taking our acetyl technology and putting it into existing facilities whether that is Nanjing, Clear Lake or Singapore facility and we do have the option of taking our technology and building a new facility in order to accomplish the same strategic goal in acetyl, so we would not be public with our incremental deep bottlenecks generally speaking which is the consequence of executing our strategy, but because of the size of the ground fields or green fields those generally we would have some discussion and some announcement on. At some point, we shouldn’t be surprised if we announce a new acetic acid plan that is economically attractive relative to the bottleneck or any other option that we have and we would be public with that announcement, but our strategic target is to maintain our share in this growing market.
Neil Wallen - CLSA: Got it. Thanks for taking my question.
Operator: That concludes the Q&A session. Now I would like to turn the call back to Jon Puckett – Vice President of Investor Relations for closing remarks.
Jon Puckett: I would like to thank everybody for their time today even though it is a busy day and thank you for your interest in Celanese. If you have follow-up questions please don’t hesitate to reach out to me. Thanks.
Operator: (Operators instructions) That does conclude today's conference call. You may now disconnect.